Andrew Lee - Goldman Sachs :
Fitzjohn (ph) - Citigroup:
Andy Parnis - UBS:
David Wright - Deutsche Bank London:
Peter Nielsen - Cheuvreux:
Ulrich Rathe - Jefferies:
Jakob Bluestone - Credit Suisse:
Stefan Gauffin - Nordea Markets:
Justine Dimovic - BNP Paribas:
Erik Pers - Danske Bank Markets: Mark Jesmond - Credit Suisse
Maurice Patrick - Barclays Capital :
James Britton - Nomura : Kevin Yates - RBS 
Soomit Datta - New Street Research: Barry Zeitoune - Berenberg
Scott Engebrigtsen: Good morning everyone and welcome to the presentation of Telenor’s results for the second quarter of 2011. Whether, you are present here at Fornebu, listening on the phone or watching this via the Internet or on the mobile phone, I am Scott Engebrigtsen and I have the pleasure of guiding you through the presentation this morning. We have made some material available this morning as well, that is our quarterly report, the press release and a copy of the Power Point presentation to be used here and you can find all of this on our website, telenor.com. There you can also find other alternatives to follow this presentation. We will have a Q&A session directly after the presentation here as usually and then we will start with audience present here at Fornebu, then go one with the ones participating on the phone and finally, you will have the opportunity to do individual interviews with the top management. And to present the figures today we have our CEO, Mr. Jon Fredrik Baksaas and our CFO, Mr. Richard Olav. And first I leave the floor to you Mr. Baksaas.
Jon Fredrik Baksaas: Thank you Scott and good morning to everyone. We are here to address the second quarter 2011 for the Telenor Group and I have to say that operationally the development in the Telenor Group in the second quarter of 2010 to a great extent follows the trends and the development that we saw in the first quarter this year. We have a strong revenue growth. We have a strong revenue growth at the top line and this has been drive by strong subscriber growth as well throughout this quarter. In addition to this and even a bit stronger than in the first quarter, we have executed extensive investments into management, into network modernizations and preparing and building capacities for the data explosion that the networks will receive in the years to come and that we are in the midst of. In addition we are launching a 3% share buy back program that Richard will give some further details here in his presentation. So lets have a look at the different geographical areas and I will start as usual with the Nordics and I want to give a comment initially then on broadcast impacts. Broadcast has also in this quarter done quiet nice. There is a top line development here, 3% organic growth and there is a margin development reaching 26% in this quarter. This is to a large extent driven by Norkring activities both here in Norway as well as also in internationally, and particularly in Belgium. In the Nordic region we are managing the voice to data transition as of the prerequisites for moving the telecommunication activities further. Both in the Norway and Denmark we have launched new mobile price plans in this quarter and these seem to be well received in the market place. At least to the extent that the customer development has been positive for us throughout this quarter and this is of course a very particular feature that we can see healthy growth again in the mobile subscriber growth in both Norway and in Sweden in particular. 18,000 new subscribers in Norway in this quarter and 45,000 in Sweden points to that fact. I will get back to some deeper details in Norway a little bit later. I believe 5% to 6% revenue growth in Sweden is on the service revenue. It is something that we see as an important feature, seeing Telenor keeping pace with the market development in Sweden. This is in line with our competitors for the time being and the reason for us not having this as visible on the organic growth figures is that we do not have that much sort of handset sales and that the roaming side of the business is week this quarter as it was compared to the same quarter last year. The competition in Denmark remains very intense. There is a continued price pressure and as you know that is a market where it has only been allowed to have a six-month contract period for new customers. As a consequence of this competitive situation we have revised the subsidy mobile completely in the market. We did that in this quarter and we seen reasonably good effects from that. We stopped the subsidizing of the handsets in the consumer segments, but there is a rental alternative available. The network sharing deal that we announced with Telia will also secure, that we will in the future have a very competitive network set up in the Danish market place, but of course it will take some time before we can reap the benefits of call savings and more efficient investments into the network capacities in that market. All in all this quarter is a strong quarter for us in the Scandinavian markets. Even in Norway there is a stable and line margin this quarter. We do see however a 400 million revenue decline compared to the same quarter last year, but this has direct explanations in the 100 million plus expense side related to the outage that we had in June. There is a 100 million reduction in interconnect revenues because of the regulated interconnection rates in Norway, taking the interconnection rate down to 30 per minute for us and there is a 150 million decline in fixed line revenues, which is a combination of lower number of lines connected as well as some lower revenues and wholesale revenues. So this completes the picture from Nordics as such, but let me add some extra comments on Norway in this quarter. It has been a particular busy quarter and some of this activity we could have definitely been without. The serious network outage that we had in the beginning of June is of course to my reference on that comment. The root cause for this has now been identified. We have taken actions on it and we will of course do everything we can to prevent the incidents of decline in the future. As a consequence also, of course there is a lot of learning, not only for Telenor in Norway, but the Telenor group as such as well as industry knowledge in this event. We have then taken the decision and implemented it to compensate directly to the market place from this outage and is one of those elements that takes the revenues down in this quarter by approximately NOK 100 million plus. Adjusted for this compensation and related to the network outage and the decline in interconnect rates, this fully explains the 4% reduction in ARPU figures for this quarter. That leaves us with a fairly stable average revenue per user from a service revenue perspective in the Norwegian marketplace and we can also state that the voice volumes in the Norwegian marketplace are fairly stable and that the growth in data usage more or less compensates full on the price pressure on voice. On top of these activities there has been a quarter with intensive CapEx investments into the network, into new technologies in this quarter as well and we are reporting a NOK 1 billion figure for investments in this quarter and this is particularly related to 3G capacities, where we have improved the high speed mobile internet usage for our customers considerably throughout this quarter, and hopefully our customers benefit from this along the coast in this summer holiday. We are also preparing for LTE and the next generation series. So with more than 70% of the base stations now stopped, we are moving into another status in our networks in Norway as we move along. We then move to the next region, Central and Eastern Europe. Also here the trends are more or less the same as we saw them in the first quarter. Serbia is doing fabulously well. Once again 18% revenue growth is a very strong figure and it also serves Serbia to a good extent that it improves the EBITDA in the same way, because we have also a margin enhancement from 40% to 44% in the quarter. So once again we have to congratulate the management in Serbia for being able to position Telenor by the way they are and that we hopefully also see some improved market share as a result of these good results. If we then take a look a Hungry, again more or less the same as the first quarter, but not of the similar kind of what we can see in Serbia. The Hungarian market, despite being sort of back end positive, GDP growth has not responded in the same way from the usage perspective on telecommunication services and with the price pressure on interconnect rates, there is still a top line pressure on Telenor Hungary. From a margin perspective though, operationally the margin is comparable to previous quarters, but with the prices tax that were also instituted towards our sector, this fully explains the modern valuation that’s down to 36% in the quarter. Let me then raise some few comments to VimpelCom. Not that much news to report at this quarter. The acquisition has been done. It’s completed by April 15 and as a result the ownership of the Telenor Group has been evaluated by 20% to 31.67% to be exact. Although we do in the first quarter see some slight improvements in the market share for VimpelCom in Russia, we are of the solid belief that the group needs to be operationally focused and really look for the momentum in the Russian market in particular as being one of the key markets. And we are there to support the VimpelCom performance and it’s efforts in that sense and we hope that the new management will be able to reinsert this direction. In parallel with this, the arbitration will continue and through that one we have the ambition of protecting the rights that we had under the shareholding agreement and maintaining the precisions that we had before the transaction came through. Then some comments on India. There is a steady growth in India for Uninor in this quarter. We’ve maintained the growth factors quiet steadily from the first quarter. In the second quarter we added 4 million new subscribers, ending the quarter with a total subscriber base of 21.4 million subscribers. This results to an 8% to 9% market precision in the best performing circles, which are UP East, UP West, Kolkata and West Bengal. And in the east circles in particular we have achieved to pass some of the other operators and we can say that we are on the fifth, sixth place in that race and this confirms the Uninor’s ambitious. Ambitious of getting a industry precision in the different circles in India. The economic growth in India maintains itself, it’s built sturdy, but still we see that the overall industry has due to competitive reasons not started to sort of hollow back the economic growth and of course being in the midst of the turmoil on the regulatory issues, there is probably still a period of wait until this happens. But we are continuously working at bringing forward a ultra low cost operator that’s needed in the highly competitive Indian market and that will include initiatives on distribution, network management and utilization and also in particular the energy which is so important when the grid is of this week quality, that we have in this kind of market. The investigations into the 2G-license award process back in 2008 continues. We have managed to conform that Telenor’s entered to India as an industry initiative and we have done everything according to guidelines set forth by authorities and we are doing everything based on approvals from authorities in that respect. And we are happy to note that there are comments coming out, that we see that authorities and other institutions understand this position. We therefore anticipate that the outcome of these legal processes should not affect our business activity in India in that sense, but there is still to see the final and new revised regulatory framework that we expect to see during this autumn. Finally, let me then give some comments to the growth figures that we see from our stabilization of operations. These are quiet phenomenal figures in this quarter I have to say. Double-digit growth in all four operations. In Bangladesh organic growth even by more than 20%. The unfortunate fact is that there is a weakening of the local currency, so I mentioned in Norwegian Krone, we don’t see the same growth figure. But with a margin enhancement of 53%, we can solemnly say that this is a good quarter for both Grameenphone as well as other operators in the Telenor Group in the region. Data and Smartphones are driving this, in particular in DTAC and DiGi and the customer demand for data services and particularly in Thailand demonstrates that there is a need and that the market is ready for 3G. The unfortunate fact though is that the 3G license to send the frequencies have not yet been awarded and also due to the governmental election and the change of government in these days, this seems a bit of a blurred picture for the time being. But we expect and we do trust that Thai authorities will conduct any investigations into this and the question that has been raised on foreign ownership on the DTAC and in that sense all our structures in DTAC have been approved and acknowledged by Thai authorities on previous locations. In Bangladesh there is a 2G-license renewal this autumn. The final terms around that has not been clarified, but we can expect that to happen during the next quarter, because the deadline here is November 11. And finally, the operation in Pakistan has done excellently in this quarter as well, both on top lines and EBITDA margin are record high for that operation from a margin perspective, having reached 36% EBITDA margin in the quarter. And this of course then also will expand the cash flows going forward. Despite many other type of challenges that one face in the Pakistani market, we also see that we do present very efficient and needed services on the financial and the well financed services in Pakistan, where Easypaisa is being very well received in these days. Before I hand over to Richard on the financials, we are summarizing the second quarter 2011 in the following way. I do think we can say that we can confirm that for the time being the Telenor Group can be ranked as one of the fastest growing European Telecom for the time being and we are in the mist of modernizations, which will be tremendously important for us in the periods to come. So we’re building capacities for the future here. We’ve also take strong initiatives on the customer centric initiatives in such a way that we should improve competitiveness in the local market places. In India we are working continuously to establish Uninor as an operator in the market place and we do feel that we’ll get recognition for that, but there is still a long way to go before we can reach the targeted breakeven market zone towards the end of 2012 and we do stick to the INR 155 billion investment space that we have demonstrated before. Operationally; the operational excellence initiatives throughout the value chain in all the operations seems to pay us results, but of course this is continuous work and we need to work harder period by period. However as a final comment to the whole presentation, the fundamental of the Telenor characteristics on this reporting is the growth factors that we see in the Asian market places. We are able to see that growth. We can enjoy taking part in it and we do maintain market shares and hopefully also building some markets precisions while this happens. So with these words I will hand over to Richard who will take us through the financials and lead us from that part of the presentation. Richard.
Richard Olav Aa: Good morning and thank you Fredrik. Indeed it’s a honor and a pleasure to present such good results. It’s indeed a strong quarter for the Telenor Group and I’ll just highlight a few numbers. Fredrik touched upon the organic revenue growth in some detail, but you also have a consolidated EBITDA margin of 31% this quarter and a 20% operating cash flow and we have to remember that approximately five percentage points goes out to India in the build up phase. So just for India, Telenor runs now at a 25% cash flow on its established businesses and this comes from capturing growth operational expense and give topics discipline. Going into the figures in more detail, starting with the revenue growth, yes we have a 7% revenue growth, but approximately half of the revenue growth goes away in currency. So the reported revenue growth is 3.4% and it’s especially the Thai Baht, the Malaysian Ringgit and the Bangladeshi Taka that declined in value towards the Norwegian Krone. However we also see a very strong in our growth component in our consolidated figures from India, contributing by approximately 2.5 percentage points of the organic growth. So with the fast growth and the size of the Indian market we will see that that will add more and more to the overall growth story of Telenor. One the EBITDA, we have improved both the margin and then of course the absolute level of the EBITDA by the growth. So compared to the second quarter last year where we have an EBITDA of approximately 7 billion, we are now close to 7.5 billion EBITDA or an improvement of 450 million. Norway has a decline in EBITDA of approximately 227 million. Half of that comes from the outage that we compensated the customers and the rest is really related to the fixed telephony decline and somewhat reduced prices on wholesale. This is then compensated, more than compensated by the strong revenue growth and margins in Asia. So more than 600 million improvements on the Asian operations this quarter and also other units like broadcast and Denmark and others also contributing in total with more than 100 million, taking the EBITDA up to close to 7.5 billion in this quarter and a margin of 31%. The CapEx, we have invested about 2.7 billion in CapEx this quarter, which is 200 million lower than the same quarter last year where it was at 2.9. That’s despite the fact that Norway had an all-time high investment level of more than 1 billion this quarter or 16% CapEx to sales in Norway. The global CapEx to sales figure was at 11%. So Norway increased the CapEx with 250 million, while the Asian units, despite that in the mids then preparing for network modernizations invested 100 million less. Then of course we‘re investing less in India with about 200 million and other units with about 200 million. We probably increased the CapEx somewhat towards the rest of the year, but we’re also taking down the CapEx side in for the year. I’ll come back to that. So that gives us then the cash flow and the cash flow has then increased both due to the EBITDA increase about some 450 million and the reduced CapEx of about 200 million. So the cash flow has improved by about 650 million year-on-year. And FX are the same as I of course then explained under the EBITDA and the cash flow. Then we have further down in the P&L, I have explained then the revenues and EBITDA before other items. On other items we have an FX of 260 million this quarter and the main effect is that they reduced about 250 full time equivalent employees in Norway this quarter and we have accrued about 176 million for that, so that’s the main driver behind the 260 million. The precision is more or less on the same level. They have highered the precision in this year due to the network, but lower for the rest of the group. Then we have to spend some time on associated companies, because there we have some FX this quarter that are not recurring. Well of course recurring is that we have taken in the first quarter figures from them to come our share of that. That is 1.4 billion in through the associated company line. Then we have an FX of 1.6 billion related to the Win Acquisition. Under IFRS the dilution that Fredrik informed you about have been diluted 20%. That is under IFRS to be deemed as a disposal. So 20% of our shares is accounting wise treated as a disposal and that creates a gain between the market value, although then to come share at the closing of the transaction and the book value of 1.6 billion. Then we have impaired or seen more investments due to lower subscriber development and revenues and earnings than the accepted and that is reducing as I said, in line with about 0.5 billion, so in fact could have a contribution from an associate a little over 2.6 billion this quarter. Net financials is also an IFRS effect. Its just internal loans that are moved and one part of the loan can be treated as accounting and the other one cannot be treated as just account, so that you should not pay any big attention to. The underlying financials are quiet normal this quarter and the same with taxes. The big effect on taxes comes of course with the Wind Telecom accounting gain. Wind Telecom contribution and the CMore impairment doesn’t give any tax effect. So taxes compared to profit before tax looks quite low, but the underlying tax rate is quiet normal. Also, I want to report how we are doing on our operational excellence programs and we have set an ambitious target for OpEx to sales, about 35% in the year 2013; we started at 39% in 2009. We are now exactly at the last 12 months rolling at 36.7, that’s down from 36.9% last quarter, so it’s moving in the right direction. On the CapEx to sales the target is 10% and we are now at 11% and what are we doing? Well trying to summarize it there in four bullet points is of course a lot of initiatives. Like Fredrick was saying, we are pretty much modernizing all the networks. The only big operation that is not sorted yet is Pakistan. We are downsizing and outsourcing. So far this year we have reduced the Telenor manpower base by approximately 1000 man heads, last year it was 1,600 for the full year. So we are speeding up also the downsizing, outsourcing programs. Customer service and distribution is a big cost for us and we see a lot of alternation possibilities there and of course like Fredrick said, continues improvement is a part of leadership expectations and a strong feature in the Telenor value sac and relentless focus on improvement of all business processes are of course vital going forward, but I would say so far so good. On the balance sheet we have a very strong balance sheet in Telenor. We don’t hide that fact of course. The net debt to EBITDA now stands at 0.8. I think the industry average is around two. So we consider it a little better at last (Inaudible). However net debt increased $7 billion this quarter. But if we look behind what rise increased, we can see that we have paid dividends of 7.2 and we have accrued for the share buyback to the Norwegian Government that will be paid now in the third quarter as that. So approximately $10 billion is going to share holders and about 2.7 in income taxes to contribution to shareholders and the governments take away about $13 billion. So the underlying operation before tax contributes at about $6 billion positive of cash flow and this increase in debt was of course totally expected from our side due to renewing the dividends and the buybacks. Then we are of course pleased to announce our buyback program also this year. When we set out the buy back last year we said that this should be a part of a long-term shareholder remuneration program. So you should not be surprised as this comes out now and we are building the shareholder remuneration policies phone by phone, increased the dividends this year from 4.1 billion up to 6.2 billion compared to last year and with the share buyback program, if we use around 85, not cash to share price, that will cost another 4.1 billion in this year and the total payout to shareholders of Telenor will be more than 10 billion. We said that we want shareholder remuneration that is competitive. This will take the yield to around 7.5% and that’s slightly below the sector average, but with our underlying growth profile I think that should be okay... And then to the guiding, starting with India, we still guide separately for India. We maintained the EBITDA loss of 4 billion. The trends are the same as the previous quarters. We are generating the revenues according to plan and the costs in total are more or less according to plan. But we are revising down our CapEx again in India to around $1 billion from before 1 billion to 1.5 billion. The main driver behind this is really operational excellence. We see that the Uninor organization due the spectrum and that they are also under tight cash flow constrains to meet 155 billion frame, that they are able to put more lines through the base stations than they have seen in any Telenor operations, so I would say that’s good news. SIM is also climbing. That mean our home license issues on getting CapEx and base station equipment in, but I would say the main part is improved efficiency on the base stations. Then for the group, we maintained organic revenue growth of about 5%. We are 6.8% year-to-date and we are also maintaining the EBITDA margin around 31% year-to-date here at 30.6%. We are revising down than the total CapEx precise from 12 to 13 to 11 to 12. I would say half of that comes from the reduction of India and the rest half comes from that we see, that we will not spend as much CapEx that we expected earlier for the rest of the group. So finally I’m please to say that will translate into an expected cash flow improvement of one percentage point or close to 1 billion, not in improved guiding. Last of my presentation, some advertisement for the Capital Markets Day on the 22 September. There we will do the parts inter-operational excellence. We will go then of course also more in-depth in India, which I think will be a great story also in operational excellence and of course the voice to data transition in the Scandinavian and particularly focused probably at Norway. So I wish you all a hearty welcome to the Capital Markets Day on the 22 September and that ends my permeation. Thank you. 
Scott Engebrigtsen : Thank you very much. We are now ready to take your question, so I invite Mr. Baksaas back on the podium. And we will start as I indicated with the ones present here at Fornebu and please also wait for microphones to be handed over you in respect of the ones following us on the phone and on the internet. 
Scott Engebrigtsen : Any questions from the audience present. We have one here from some participant, okay. Actually I think you will have to sand there in respect to the ones. 
Unidentified Participant: Hi, (inaudible). Just a clarification on the outlook. You adjusted down your CapEx, but your guidance excludes license renewals etc. So could you comment on what your expectations are for the net effect when you include your renewal in Bangladesh in Q4? 
Jon Fredrik Baksaas: The final outcome of - the final figures so to speak and when it’s going to be paid etc is yet to be seen. So its quiet hard to sort of give any view to that question right now. 
Unidentified Participant: Okay, I have another question. On Norway, if you look at what happened during the quarter you have adjusted EBITDA margin of 39% underlying, you added 18,000 customers. You think you have seen the full effects of the network situation on the folks in the network in the Q2 or do you think one should expect that you will (a) increase marketing or other marketing related issues to try and reduce the effects of that event. i.e., its Q2 figures the same as you see it. 
Jon Fredrik Baksaas: The direct effects of the full situation that they had in June is captured in this quarter. One can call it indirect effect that you are more or less pointing to. I think that has something to do with the general, compared to this situation in the Norwegian market place. And seeing the effects before the outage of their revised price plans etc, we fell that we have a quiet solid momentum, getting back and getting out of some of the weaker positions that we had towards the end of last year from a competitive perspective in the Norwegian market place and that lasted into the first quarter. So from that side, I don’t expect sort of extraordinaires, but of course we have to give some efforts to regain the reputation of the Telenor Group service package to the Norwegian market place and in that respect we are of course on top of the network of operations in Norway in a different way one could say, after the event that they had in June. And we are as we explained here on Tuesday, in the midst of preparing the final activities and here there is one of the notice in the core system, the media gateway, that there still is some extra work to be done without sort of significant price tags attached to it. 
Scott Engebrigtsen: Okay we have a question here from this side please. 
Unidentified Participant: Hi, (inaudible). I have a couple of questions first with VimpelCom. You say you are commencing the arbitration that you have talked about before, but I wondered now that your partner has announced that they want to discontinue the shareholders agreement after coming below the threshold of ownership, are you challenging that sort of statement or decision by them to void the shareholders agreement? And how will you look upon investing further into VimpelCom should it happen that the shareholders agreement is not there anymore when the time comes for the arbitration decision? And the other question with Pakistan. I seem to recall that you put out a longer-term margin target of 35% at some point and seeing that you now successfully have passed that target, can you give some comments on how far you think you could go in developing profitability further?
Jon Fredrik Baksaas: Yes for the first one on VimpelCom, the arbitration process is independent from the actions from ultimately when it comes to having passed the 25% threshold. The arbitration process goes back to the process that happened when the transaction with Wind was defined to be a related body transaction. I mean in such a case depriving the preemption rites that Telenor had and that’s what the arbitration is about. Then both shareholders however were in their full rights to pass under the 25% threshold, so there is no resistance or comments from us in that respect. That was the right of the shareholder that did it and it was sort of pure mechanics and then there is sort of mechanics in the transition period for six months until the shareholding agreement is then shared for good. And in that period we can anticipate after the hearing some process on the arbitration we will go on, but these are sort of parallel things. Then it remains to be seen how the outcome of the arbitration will end and to your question we have to sort of ask that question once again when we know the outcome of that arbitration process, which can be estimated sometime next year. Then on Pakistan, yes margin of 35% have been reached. Where do we go? Well we have now been in operation in Pakistan for six years, we’re on the six year. We are the number two player among five. We are very satisfied that we have managed to bring forward these kinds of performance, this kind of performance with your consideration to the situation in Pakistan, the environment in general. Where do we go from here? Of course we are not targeting to take it down again. And all the markets in Asia are sort of moving up in the 40% bracket. Do I indicate that we will reach 40? Well, we will at least push for further improvements. So let me limit myself to sort of that kind of expression. 
Scott Engebrigtsen: Okay question for Richard.
Richard Olav Aa: Well that is the key question to the whole industry. I think that has been asked to all CEOs in Europe for the time being. The price pressure, sort of unexisting services we have to register it will move on. Regulation will also make sure that there will be a price pressure on the roaming side, the roaming aspects of the industry and the initiative that Brazil took last week in among them, a structural solution to come probably in 2012. But on the other hand the volume growth on data services here will be significant and the industry needs incentive to entertain that growth and this is sort of inherent in your question. How will we see revised pricing structures coming forward when there is a data driven activates in the network more so than voice driven. So to be sort of 100% exact on say, to your question I think we have to bear with the uncertainty for a period of time on how those incentives will (inaudible) in the industry as such. So what we see here in Norway for the time being, we do compensate in rough terms for the price pressure of data growth. Data growth is compensating for price pressure. Then we have still sort of -- because we have this big voice, fixed voice part of the equation over, still a declining curve originating primarily from that one. But from what we can see is that the Scandinavian markets data growth compensate for price pressure on voice. 
Scott Engebrigtsen: Okay we have one another question here at the back. 
Unidentified Participant: Thank you. Just to look further down your markets, just two quick questions. One with respect to Denmark. Is that a preview with respect to reduced subsidies in other markets as well or is it just a function of the whole like of availability of products. And the second question, you mention the India base station efficiency on a per line basis. Is this something which is exportable for the markets as well, and if so what could the effect of that. 
Jon Fredrik Baksaas: In Denmark the driver for the reduced activities and subsides is primarily coming from the competitive legislation that only allows for six month contracted period, whereas the same factor in Norway is 12 months and in Sweden 24. So that’s a sort of prime differentiator from the three markets. But since connectivity only and usage only has become more paramount, important characteristics when people buy their communication needs, then the split between the handsets and the connectivity part is coming through also in other segments in both, well in Norway in particular, because one operator in Norway is pushing connectivity and voice only and leave it to the customer to take sort of part of their terminals, their handsets criteria. So yes, you can say that there is a development in all the markets in the same direction. Will that embrace all the segments? Probably not, because there will be segmental preferences here which will pay out on what kind of balance you will find. As for base stations, I think with that yes, there is a lot of learning from India in that respect into other markets and may be you can flavor that a bit. 
Richard Olav Aa: Yes, I don’t think the learning’s from India is not on the related 2G voice. We see that those learnings can be exported to 3G and also 4G environments. And Grameenphone has never done network sharing activities if it hadn’t been for what we had learned in India. So that’s at least one direct learning element. 
Scott Engebrigtsen: Okay, any more questions from the house at Fornebu. If now I think we will turn our attention to the ones following us via the phone and we have a lot of interest from those. So I will have to ask you to please be so kindful and limit yourself to one question each and eventually a follow up question if something is unclear. So then I call for the conference host to introduce the first question please. 
Operator: Andrew Lee, Goldman Sachs. Go ahead please. 
Andrew Lee - Goldman Sachs : Hi, thanks for taking my question. One question and maybe with a follow up that's slightly different. On the Norwegian mobile, you touched to an extent on the competitive environment there and the piece you highlighted yesterday, they thought MVNO pricing pressure was easing in Norway. I was wondering if you could comment on how you see competition into the second half of the year and whether you believe your recent tariff refreshes that reduced churn in the second quarter will be enough to keep churn down through the year. And then a second question if I may just on Indian mobile. I wonder if you could just give an update on your perceived likelihood that you get the extra 6.2 megahertz of spectrum that you haven't received? Thank you.
Jon Fredrik Baksaas: In Norway. The competitor situation in Norway is defiantly driven by the asymmetrical termination rate structure that we have in Norway for the time being. This is what gives the competitive strength of the attackers for the time being; there is no doubt about that. The asymmetrical principal has been adopted by the government with the ambition of getting more investments into the infrastructures of the mobile systems and establish the ground works for the third operator. What really happens is that you get the stronger price in a competitive markets place rather than more significant investments, in particular in the outskirts of Norway that won’t happen. The guarantor for sort of the very good, both coverage and capacity level that we have in the mobile systems in Norway is still Telenor and will be so for many years. The profile on the asymmetrical termination restructure is so that they will be gone by June 2013. So we are now in 2011in the period with the highest differentiator. Because Telenor is running on 30 a minute on termination and the widest differentiator if I’m not mistaken is nine years to our comparators. And this profile will be gradually reduced from now on through in January and be changed on two occasions in 2012, and be taken away in 2013. So we can expect this kind of competitive pressure to maintain through the autumn and into at least the first half of year of 2012. But having said that, the revision of our own pricing structure and the repackaging on the service packages in the Norwegian markets has been received positively at this stage during this quarter as we have reported, and we do feel that we have a competitive price point under the present circumstances in the Norwegian market place right now. Something to add on that? Then for India, on 6.2 I don’t think we can expect a release from 4.4 to 6.2 before the regulatory framework that will -- its presumed to last and to be implied in India over the coming years will be declared. Earlier this year, this was expected to take place in March 2011. If we go back to 2008 when the new licenses were awarded there was a three-year timeline until the regular frameworks should be revised in March 2011. But because of the turmoil this has been delayed and it was anticipated to be seeing something in August, but I won’t be surprised if it will move longer than that. As a last comment, we feel defiantly that we have fulfilled all requirements and as such be eligible to receive the incremental frequencies to 6.2 in the circles that we have applied for. 
Richard Olav Aa: Let me add to Fredric, that the improvement we now see in the networks in India, per base station, also makes the 6.2 in a short term less critical. In the regional plan in India we would have really needed 6.2 now to build, just avoid building more base stations, but we are pushing so hard now on the base stations that we are having, so we can postponed when 6.2 is needed to give more. So, sometimes it’s good to not have something. 
Scott Engebrigtsen: Okay. Next question please and remember, one question please.
Operator: Next on the list Fitzjohn (ph), Citigroup. Go ahead please.
Fitzjohn (ph) - Citigroup: Thank you and good morning. One other question on Norway mobile if I may. On the new tariff plan you seem to have a good impact on that task. I was just wondering, are you expecting much for the next impact on service revenues going forward, (inaudible). Thank you. 
Jon Fredrik Baksaas: No, certainly not. That’s not the intention with the new tariff plans. Of course the whole point is here to have it hard with the pricing and as the data consumption grows, that the consumers will move up in the staircase towards higher buckets. So that is the philosophy behind this, but of course the competitive pressure and especially this asymmetrical termination rate, which is really subsidizing our comparators, make that more challenging as long as we have that scenario. Haven’t it been for that scenario, I think you would have seen a significant different service revenue than the plan already. 
Fitzjohn (ph) - Citigroup: Thank you and one quick follow-up if I may. You now refreshed your tariff plans for Norway and Denmark and (inaudible) steering on data, and Sweden maybe remains a bit of an exception, but the tiering not really in the sort of the initial bucketing 1 gigabyte of data. Are we going to - what are going to see in the Swedish data tiering in the short term? 
Jon Fredrik Baksaas: I didn’t really get that now. 
Fitzjohn (ph) - Citigroup: I’m sorry. You’ve now got good data tiering in Norway and Denmark following your recent tariff refreshes and from what I can see, Sweden remains the next one in line in the sense that the data-tiering there is not effective. 
Jon Fredrik Baksaas: The competitive structure in Sweden is a bit different, because you don’t have the MVNO structures in place in the same way as you have in Denmark and Sweden. Maybe that is sort of a differentiator. Does that give some light to your question.
Fitzjohn (ph) - Citigroup: Right. I got it. Thank you.
Operator: Next Andy Parnis, UBS. Go ahead please.
Andy Parnis - UBS: Yes hi, this is Andy Parnis from UBS. I am just after one question. Just on your revenue growth guidance you talk about it being about 5% now for the full year. Just given that first off you were running at around 7%, do you expect to slowdown in the second half of the year or was it above 5% guided, because that’s sort of now being more of a sort of above 6%, above 7% guidance?
Jon Fredrik Baksaas: We have stated you know guiding above 5%, so I don’t think it’s - we’ll go ahead and turn the detail in trying to nail that down to an exact figure. So, thank you.
Scott Engebrigtsen: Next question please.
Operator: Next David Wright, Deutsche Bank London. Go ahead please.
David Wright - Deutsche Bank London: Yes, it seems Andy might just have asked my question, but I maybe feel inclined to just push a little more. I mean, you actually exited Q2 with an even stronger revenue growth rate. I think Q1 you did 6.6 and you are saying H1 6.8%, so that’s implying in Q2 exit probably around 7%. In which particular line of business are you expecting more revenue pressure in the second half that leads you to that more cautious guidance? Thank you.
Richard Olav Aa: Let me then try to elaborate on that one. Well above 5% is above 5%, so - and lets agree to that at least. But remember also that we are comparing the second half of 2011 with the second half of 2010 and the growth momentum started really in the summer of 2010. So in a way we are comparing up against higher baseline so to say. Maybe that gives some light to your question.
David Wright - Deutsche Bank London: Yes, that’s great. Thank you.
Operator: Next Peter Nielsen, Cheuvreux. Go ahead.
Peter Nielsen - Cheuvreux: Thank you. I have a question for Fredrick. You’ve been through Norway and Sweden, but it’s a question on Denmark where your margin has reached a close to I would say a long-term high. Is that the evolution of the handset subsidies or is it sort of underlying the cost reductions that has boosted the margin there? At the same time, have you seen an improvement in the competitive environment in Denmark as indicated by some of your competitors? Thank you.
Jon Fredrik Baksaas: Well, with your dialect in a way you know these things quiet well I should anticipate. Now the Danish market place is as competitive as it was before Pete, that’s for sure. We cannot say that we see any off here. But the results that are being delivered from the Danish organization is coming from the change of philosophy on subsidies as well as general cost efficiency initiatives in the value chain as such and this has to continue, but it says it is like that and what we have done to prepare for ourselves for that in the future is to join forces with TeliaSonera, in such a way that the number two and the number three player should be in the position from a network perspective to compete both efficiently up against TVC with that kind of combination.
Peter Nielsen - Cheuvreux: Okay, thank you.
Operator: Next Ulrich Rathe, Jefferies. Go ahead please.
Ulrich Rathe - Jefferies: Yes, thanks so much. On India, I was wondering on what you think in general about consolidations there that are not specifically to India. The sort of the way I would phrase the question is the Indian minister say he’s talking about sort of having fewer numbers per circle. The question is would you rather think this is a question of larger operators hoovering up smaller operators or do you think the more likely way to fewer operators per circle would go along the lines of smaller operators joining forces and sort of building out the small operator and greenfielders joining forces and sort of gaining scale through that. Thank you.
Jon Fredrik Baksaas: It’s my impression that when the others are expressing that the consolidation in India will be the way to go and that is to site it and what’s needed before that can happen, is that there need to be a clarification on the regulatory framework and it’s very good that ministers and others are indicating that this is the way to go, but still we need to see that framework. And then most important factor in that sense is the potential government, well regulatory implication that might come when you consolidate the spectrum. So in other markets this is generally controlled through the competitive legislation, competition legislation, whereas in India this has been controlled consciously by allowing the small sizes of spectrum to a high number of operators. So it’s this philosophy that needs to be changed before we can say that there is a climate whereby a consolidation can happen. From a Telenor perspective, we would be completely opened to all kinds of talks and potential structures and see what kind of window of opportunity that might arise when these things are being brought to more clarity.
Ulrich Rathe - Jefferies: Thank you.
Operator: Next Jakob Bluestone, Credit Suisse. Go ahead please.
Jakob Bluestone - Credit Suisse: Hi there, just one question. You were obviously in the bidding for Polkomtel and obviously were not successful in it. Are you looking at any other assets out there and if not, could you maybe elaborate on why you perhaps didn't do a larger buyback given where your balance sheet position is?
Jon Fredrik Baksaas: Yes, I think we don’t comment specifically on M&A, but we have also stated that we will look at opportunities within our core regions and of course further enough like we said before, I think it would be a mistake not to look, but we are doing it through a very disciplined approach and we have not seen them telling or making any new significant moves on the acquisition side since India and I think you should take that as a credit, that we are working very disciplined on M&A. When it comes to the level of the buyback, I think it’s very important for us to build stone by stone on the shareholder remuneration and I don’t think you will see us aiming at any special dividends or any single offshore buy backs, but we will build a competitive shareholder remuneration over time, stone by stone without any big surprises in the negative or in the extremely positive direction. That will be in line with our long-term policy for everything we do.
Jakob Bluestone - Credit Suisse: I do have a follow-up. In terms of the balance sheet and the offset you mentioned earlier in your presentation, you have one of the less levered balance sheets in the sector. Is that because you are waiting to find out what happens with the arbitration case regarding VimpelCom or do you see yourself kind of gradually building up over time or how do you see that leverage evolving over the next few years? 
Jon Fredrik Baksaas: What we have said is that we need to maintain a strong balance sheet and we have defined that that EBITDA is below 1.6; right now we are at 0.8. We also said when this conflict arose on the primitive rise of VimpelCom, that we will have no problems both maintaining a competitive shareholder remuneration and also execute on the attention rights, if we were successfully in the arbitration and would like to use those rights at that point in time. So I don’t see any conflict on that scenario from our point of view.
Jakob Bluestone - Credit Suisse: Thank you.
Operator: Next (inaudible). Go ahead please.
Unidentified Participant: Thanks. Just one question; I’m just trying to present it for the bearish outcome in Russia and then get your response to that. So if VimpelCom continues to lose revenue share as it currently is and if you then lose your arbitration case that you just talked about and over the next six months, 12 months you see your board influence diminish as Wind gained seats, would you then consider selling down your stake in VimpelCom over time? Thanks.
Jon Fredrik Baksaas: That was a long list. Lets take them one by one if they happen, rather than sort of giving you an explanation to each one of them right now. Thank you.
Operator: Next Stefan Gauffin, Nordea Markets. Go ahead please.
Stefan Gauffin - Nordea Markets: Yes, hello. I have a couple of questions on India. First of all, you report stable ARPU and very high minutes of use in the quarter. I have picked up that there are talks about better pricing environment in India with some tariff increases from some of the competitors. Is that something you are seeing at the moment and maybe that didn't happen already in the quarter. Can you say something about the pricing environment? Secondly…
Scott Engebrigtsen: I am sorry, I will have to stop you there. You will have to please just one question and a follow-on. So lets have the first question please. 
Jon Fredrik Baksaas: Yes, there are some initiatives seen on off-net tariffs in India. But these are very minor effects on the revenue structures of the operators. But on the other hand, yes, we have seen some initiatives of the price increases, which sort of opens up the pricing environment slightly better than what was the case before. So we have seen it and we will respond to this from our side, from what we see relevant from Uninor’s precision in the different circles and this is not - this is done circle by circles by the way, so it’s not necessary of the national featuring.
Stefan Gauffin - Nordea Markets: Okay. You explained the EBITDA improvement with the improvement in gross margin and still you maintain your EBITDA outlook for the year in India. Is that explained by expectations of new launches and when should we expect that? 
Jon Fredrik Baksaas: No, we don’t plan any new launches right now. Of course we are interested in launching in the circles that we have not launched, but its on circles like Delhi where we don’t yet have spectrum and in some we just have partial spectrum, but I think we need to see the regulatory environment come more in place and in the meantime we will build operational excellence in the circles we are already in. So regarding this year, there is no significant CapEx in the circles we’re not doing. As we proper and pack in the different circles, we are anticipating and expecting that we become a better potential partner to discuss with on structural changes in the future.
Stefan Gauffin - Nordea Markets: Okay, thank you.
Operator: Next Justine Dimovic, BNP Paribas. Go ahead please.
Justine Dimovic - BNP Paribas: Thank you very much. One question on the way and the network outage that your feeling in the course of the quarter, I am just wondering if you can elaborate a little bit on what happened. What kind of backlog trends you put in place if necessary, to make sure that you don’t see the same issues rising in some of your older markets as you are currently replacing network pretty much everywhere, but Pakistan as you said. So I was just wondering if there is an element of risk that we can see that happening in all the markets and if this is the case, what kind of back up plan you have and as well, I am just wondering if that is going to have any impact on the answers you provided for 10% CapEx to sales in 2013 in the existing operations excluding India. Thank you very much.
Jon Fredrik Baksaas: This is the question which we really we have sort of a half an hour press conference in itself. So I have to limit myself to sort of say that what happens was that in the core, in the CS core, the voice part of the mobile system, we had components from suppliers that did not do a very specified level and a very specific event that will cure it when the outrage happens. And we had a separate press conference on that two days ago and the material can be taken from there, I think I have to say that. What we have done of that case is that we have together with our supplier in the field, extended some capacities. We have introduced some patches to circle vent this kind of incidence and we are very sure that this particular incident will not happen again. As to the rest of the operations in the Telenor Group, all the networks in the Telenor group or the industry for that matter, none of them have exact the same configuration. I remember the network has been build gradually year by year and as it happens because of also the comparative pressure and the type of frequencies that are available to each operator. So there are no such thing as an exact equal and similar configuration from one operation to another. But rest assured, there is a lot of learning on what happened in the Norwegian effort both for Telenor and their industry as such. And a number of operators have taken interest in how this could happen and how it has been mitigate of course. As to the second part of your question, there is not any impact into our guiding figures from this outage event, except for what we are reporting for in this quarter. 
Justine Dimovic - BNP Paribas: Thank you very much. 
Operator: Next Erik Pers, Danske Bank Markets. Go ahead please. 
Erik Pers - Danske Bank Markets: Thank you. Just a couple of things I saw on Scandinavia. First on Denmark, you know you just have to understand the development going forward. Can you specify how much revenues and EBITDA you had from your contract with Onfone in the quarter please? And secondly if I may, just to comment on CMore and the impairment there, you bought that asset I think about a year ago. But what went wrong there and how could it depreciate so quickly, please?
Jon Fredrik Baksaas: Well when it comes to Denmark you can really find our wholesale revenues in our P&L. There you see that being disclosed. So I don’t think we should disclose specific customer revenue that we are saying, but Onfone is a significant part of the report on the wholesale there and that will be of course transisted out of our networks we go forward. When it comes to CMore, I think the development is largely due to lack of premium contact in CMore and that the effect of that has given a higher subscriber loss and deeper results than at lease both the company and we have expected. 
Erik Pers - Danske Bank Markets: And this has to do with the premium content?
Jon Fredrik Baksaas: It’s related to sports content I would say, the lack of some premium. Soccer in particular has lead probably to its higher subscriber looses, kind of as we expected. 
Erik Pers - Danske Bank Markets: Thank you. 
Scott Engebrigtsen: Next question please. 
Operator: Next Mark Jesmond, Credit Suisse. Go ahead please.
Mark Jesmond - Credit Suisse: Hello, it’s Mark Jesmond from Credit Suisse. Just to return to the question of the shareholder agreement, following Altimo’s notification, I was just wondering what your thoughts are on potential conflicts of interest between your own operations in South Asia and VimpelCom or Orascom? 
Jon Fredrik Baksaas: Yes, in Partisan this has been clarified by national authorities as being not a problem in the Pakistan market place. These are parallel operations today they are run as parallel operations and that will continue. They compete in the daily market place and that will also continue. Bangladesh do not have the same legislation in place so that question is okay for the time being and the shareholder agreement and the principals under which this was done was so that the first comer was in any market has the right to stay there and the second comer we had to resolve any type of challenges that might arise, coming from such a combination. 
Mark Jesmond - Credit Suisse: So just to follow up on that, so does that first in sort of last in the first out principle, do you still expect that to apply once the shareholder agreement expires? 
Jon Fredrik Baksaas: Yes, this is quiet clear. Yes, we will continue it like that. 
Mark Jesmond - Credit Suisse:  Okay. Thank you. 
Operator: Next Maurice Patrick, Barclays Capital, Go ahead. 
Maurice Patrick - Barclays Capital : Hi, there. Yes, it's Maurice from Barclays. Obviously lots of moving parts inside Mobile Norway, but you have refreshed your Smartphone tariffs. Presumably a reasonable amount off of the base is on the old tariffs. So I wonder if you could help us understand the size of the back book in terms of those customers, how many customers currently are on the much higher tariffs or if you have actually been actively bringing them down? Thank you. 
Jon Fredrik Baksaas: Now this is both yes and no really, because we are also actively migrating customers from old tariffs as you call them into relevant tariffs of sort of the present competitive filed. So this is work that continues these ongoing. 
Maurice Patrick - Barclays Capital : Okay great. Thank you for that. 
Operator: Next James Britton, Nomura. Go ahead please. 
James Britton - Nomura : Good morning. Network OpEx attached to the modernization plan was one reason for the negative margin impact in previous quarters. Can you just clarify what that impact was in Q2 in Norway, for example? And does this spend completely drop away after 2011 when the network modernization is complete? 
Jon Fredrik Baksaas: If I caught you right, you were pointing to negative margin development in Norway were you? 
James Britton - Nomura : As a function of the network modernization plan, but what was the impact? 
Jon Fredrik Baksaas: But the network modernization do not necessarily have a great impact on the OpEx side of within the reach in operation. Of course there are higher activates but the bulk of that work is capitalized as investments. But when its done and looks to Montenegro where we did this last year, then we see sort of at the back of a completion of such a network swap there is a higher degree off efficiency in the network that one can capitalize into competitive ability or improve margins as we move forward. That competition will decide how that powder so speak will be utilized. 
Richard Olav Aa: There are still several ones working in lines with our specialist, but I’m afraid the time is running out on us, so we will have to… 
Jon Fredrik Baksaas: Another 5 minutes.
Richard Olav Aa: 5 minutes, okay. Then the next question please. 
Operator: Next Kevin Yates, Royal Bank of Scotland. Go ahead please. 
Kevin Yates - RBS : Hello there yes, I have a question on the Swedish mobile market. Consumer sentiments has been fallen for a while now in Sweden. Interest rates have been on the rise and I was wondering if you’d seen any behavioral changes amongst your customers, more to do with economic regions than any other regions. 
Jon Fredrik Baksaas: No we have not seen that as of yet and on the contrary spending in Sweden have been on the rise. It was a cautious period in 2009 after the financial crises, but you have seen that the Swedish economy have really produced economic growth factors of significance and are back in line so to speak. So then one can ask for how long will it last? Well let’s take that on the general competitiveness of the Swedish economy, which seems to stand strong. 
Kevin Yates - RBS : Okay, that’s lovely. Thank you. 
Operator: Next, Soomit Datta, New Street Research. Go ahead please.
Soomit Datta - New Street Research: Yes, a question on India please. A quick update on the future funding prospect there. You’re still taking these short-term international loans, I believe, which are at fairly punitive rates. I just wondered if there’d been any further discussions with Unitech? Any talks of equity raising and also just perhaps help me understand if you’re fully guaranteeing the loans, these short-term loans, why is it exactly you’re paying such high interest rates on them? Thanks very much. 
Jon Fredrik Baksaas: Yes, I think when it comes to relationship with Unitech we are of course pushing for a price issue as we feel that it’s a better funding than short term loans guarantied by Telenor. And yes, at this point in time all the loans of Uninor is guaranteed. When it comes to the interest rates of the loans I would say they are quiet normal in India. You must bear in mind that the Indian interest rate regime is at the high level also due to special regulations, but I don’t think we’d pay any higher interest than what would be normal to compare with in India due to the strong credit of Telenor. 
Soomit Datta - New Street Research: Okay thanks. 
Scott Engebrigtsen: Next question please. 
Operator: Next Barry Zeitoune, Berenberg. Go ahead please. 
Barry Zeitoune - Berenberg: Hi. Just another question on India, please. Given that you’re pushing harder on your network and that you now feel that you’ve postponed your need for increased spectrum, you’re aiming to get to 30 million subs at the end of this year, 50 million by the end of next year. When do you think that need for spectrum will materialize? And what is your plan B should you not be allocated a spectrum in the course that you would expect to be? 
Jon Fredrik Baksaas: There are some factors that really needs to be in place in order to run a mobile operation. Number one is spectrum and license, and given that we have not been able to get to 6.2, we have been able to find our own new ways of running higher capacities with the existing fragment that they had, unless they are both on tests for the time being as well as on commercial sort of initial phases. Number two is numbers. In these access to number capacity, share telephone numbers and we are scarce of telephone numbers for the time being and the new commerce live - was awarded per circle numbering capacity according to a sequence on when they entered and we have numbering shortages now in some circles which is sort of bottle length number two. And again, it seems the regulatory framework is in the thermal that it is. Its difficult to get release both in spectrum and numbers and the ultimate consequence of that is that you have to run with your existing customer base at the existing capacity that you have in your networks and tune down these activities. 
Richard Olav Aa: But to just let me add, one thing lets be clear that some of the best performing circles like Fredrick alluded to, like in the developed UP East and the UP west, they had needed extra spectrum long time ago hadn’t we pushed the network. But they are starting to need it now. It’s in response significantly. So we are applying for the spectrum and pushing hard for it, because we see that its vital for the long-term business case, even if we are able to push more through the base stations. 
Barry Zeitoune - Berenberg: So, on a monthly basis we’ve seen your subscriber additions slow marginally over the course of the last few months, is that deliberate then? Because you’re pushing already as hard as you can on your CapEx and you don’t have enough spectrum? 
Jon Fredrik Baksaas: Its been liberal in the sense that the customers, we are churning out customers early than we under other circumstances would have done. 
Barry Zeitoune - Berenberg: Okay, thank you. 
Jon Fredrik Baksaas: Okay thank you. And I think that’s what we have time for today. All those clarifications could be addressed to our Industrial Relations department. I would like to thank you all for paying your attention this morning and thank you. 